Operator: Good day ladies and gentlemen and welcome to Sunshine Heart's Fourth Quarter 2014 Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference call is being recorded. Before we get started, I would like to remark briefly about forward-looking statements. Except for historical information mentioned during the conference call, statements made by the management of Sunshine Heart are forward-looking statements that are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties that are based on management’s beliefs, assumptions, expectations and information currently available to management. Those risks include, but are not limited to risks associated with the possibility that the company’s clinical studies do not meet their enrollment goals, meet their endpoints or otherwise fail, that the regulatory authorities do not accept the company’s application or approve the marketing of the C-Pulse System, the possibility that the company may be unable to raise the funds necessary for the development and commercialization of its products and the company may not be able to commercialize its products successfully in the EU, and other risk factors described under the caption "Risk Factors" and elsewhere in its filings with the Securities and Exchange Commission. By providing this information, the company undertakes no obligation to update or revise any projections or forward-looking statements, whether as a result of new information, new developments or otherwise. You should review the cautionary statements and discussion of risk factors included in our press release issued today, our latest 10-K subsequent reports as well as our other filings with the Securities and Exchange Commission under the titles Risk Factors or cautionary statements related to forward-looking statements. For additional discussion of risk factors that could cause actual results to differ materially from our current expectations and those discussions regarding risk factors as well as the discussion of forward-looking statements in such sections are incorporated by reference in this call and are readily available on our Web site at www.sunshineheart.com. With that said, I would now like to turn the call over to Dave Rosa, Sunshine Heart’s President and Chief Executive Officer.
Dave Rosa: Thanks, operator. Good morning, everyone and thank you for attending Sunshine Heart’s fourth quarter 2014 results teleconference. Before I get into more of my prepared statements, just a few things. One, Dr. Margarita Camacho, who was expecting to attend the call was called in the surgery and will not be attending. And second, I may come across a little bit muffled, my voice is not very good. So I apologize in advance if I cough in anybody's ear and I will try to get through this as quick as I can. On today's call we will address key Q4 2014 and year-end highlights across clinical, research and development and corporate fronts. In addition, there will be commentary on the COUNTER HF study pause and Dr. Bill Abraham, Co-principal Investigator of the COUNTER HF study will be made available during the Q&A portion to address questions regarding the study's current status and plan moving forward. Incidentally, for those of you who have not been able to review today's release, we have heard from the Clinical Events Committee or CEC that the two recent deaths associated with the COUNTER HF study have been adjudicated as non-device, nor procedure related. This means that the death of all four patients in the treatment arm of the COUNTER HF study have been ruled non-device and non-procedure related events. With me today also are Claudia Drayton, Sunshine Heart's Chief Financial Officer; Kimberly Oleson, Senior Vice President of Clinical Affairs; Molly Wade, Vice President of Worldwide Patient Recruitment and Marketing; and Deb Kridner, Executive Vice President of Regulatory Affairs and Quality. And as I just mentioned, Dr. Bill Abraham as well is participating over the phone. In addition to addressing the status of the COUNTER HF study, we will discuss a number of update regarding Q4 COUNTER HF and OPTIONS HF enrollment results. The COUNTER HF interim analysis, the fully implantable system and finally touch on upcoming trade show presentations and overall corporate growth plans as we head into 2015. In brief, here is a snapshot of progress with respect to the COUNTER HF study during the quarter. Despite the company's concerns regarding seasonality, 13 patients were enrolled in the fourth quarter making the second consecutive quarter of double-digit enrollment. We ended the year with 40 enrollments in total. While the COUNTER HF study is currently paused, the company is tracking towards a third consecutive quarter of double-digit enrollment in Q1 2015 with expected growth over the fourth quarter numbers. The company expected in Q1 2015 that approximately 100 potential patients would have been presented the option of enrolling into the COUNTER HF study. This would have been a sizable increase over the number of patients that were presented the therapy in Q3 and Q4 of 2014. Two new centers were activated during the fourth quarter, bringing the total number of activated centers to 21. Up from 19 last quarter with 15 of 21 centers having enrolled at least one patient. In addition, two new therapy development specialists were added in the fourth quarter to drive enrollment growth. As you may be aware, in the fourth quarter the company submitted a request to the FDA to conduct an interim analysis of the COUNTER HF data after half of the patients have been randomized in the study. While we expected to hear back from the FDA by the end of the first quarter of 2015, we received unconditional approval from the FDA this February. Based on the current approval, the company will be able to evaluate the primary efficacy endpoint after 194 patients have been randomized to either the C-Pulse arm or control arm and followed for 12 months. The accrual of the 194 patient cohort is expected to occur in the second half of 2016. With an interim analysis, we will be expected to meet a much more rigorous statistical threshold which is adjusted based on the accrued follow-up data. Therefore, the preset follow-up period of 12 months for the interim analysis cohort was selected to maximize the collection of data towards the primary endpoint. The company reported on March 6 that it had notified the FDA after it had became aware of three recent all-cause deaths in the treatment arm of the trial. This brought the total of four all-cause deaths in the treatment arm since the study began. As previously reported, the first two deaths have been adjudicated by the independent CEC as not device nor procedure related deaths. And late last week we were very pleased to receive notice that the CEC adjudicated the most recent two deaths also as non-device and non-procedure related. The email and memo was sent to every site briefing them about the pause. In addition, a series of calls were scheduled for both COUNTER HF and OPTIONS HF investigators in the week of March 9 with both of our study co-principal investigators participating. There was excellent participation on the calls and all questions were answered by the company and Co-PIs. On March 16, 2015, as directed by the FDA, the company submitted an IDE amendment to the FDA including all data that was requested in order to resume the study. The amendment allows for up to a 30-day review and therefore the company expects a response from the FDA by April 16. No protocol changes are expected at this time. In Europe, we continued to enroll patients in the OPTIONS HF European post-market study. One additional site was activated in Q4 bringing the total number of study centers to 14. Two additional implants were completed bringing the total number of European implants to 12. These cases were performed at two new centers in Germany and Austria with discharge occurring within seven days post-implant. Regarding German reimbursement, we recently learned that we have received a status 4 for our request for reimbursement of the device. We were advised that the reason we did not receive a status 1 was due to several hospitals' individual request for reimbursement of our device using codes for reimbursement that were different than the ones the company submitted. While we were disappointed that we were not granted the status 1, the status 4 means that we are allowed to go back and resubmit our request again. We have learned that only 10% of companies receive either status 1 or status 4 and that 90% of companies that submit for reimbursement in Germany receive the status 2 or 3 which prevents them submitting again. With respect to the fully implantable system, the company expects to test the customized TETS and implantable pump system in a chronic animal model within the next 30 days. This will represent the first time both technologies have been used together. As the year progresses, we expect to continue development and complete chronic animal testing by the end of 2015. Assuming the outcome with the FDA is resolved quickly as expected, the company would expect to complete its first in-human test before the end of 2016. This will be a significant achievement as no other modern day cardiovascular assist technology has accomplished nor appears close to accomplishing this. We expect that acceptance of the technology would dramatically increase as the external drive line would be eliminated along with the risk of exit infections. In anticipation of the capital needed to fund this program, the company began to evaluate the effectiveness of using the $40 million ATM which was put in place in 2014. Starting late last November, the company used this tool selectively and is pleased to announce that it has generated around $7 million from equity offerings under this facility. This is an addition to the recent $10 million deal finalized with Silicon Valley Bank have strengthened the company's cash position. Claudia Drayton will provide more details on this in the financial review. Finally, I wanted to briefly provide an update on upcoming meetings where we have submitted papers or posters. The first paper entitled C-Pulse System Extra-aortic Counterpulsation for heart failure, drive line infections and management was an accepted poster at ISHLT which occurs in April 2015. The next is titled reduced heart failure readmission rates clinical experience with the C-Pulse Extra-aortic Counterpulsation System, that was submitted to ASAIL. The third titled development in chronic in-vivo testing of a fully implantable Extra-aortic Counterpulsation device was submitted to ASAIL, which is in February 2015. The fourth was clinical experience C-Pulse Extra-aortic Counterpulsation System in patients previously treated with optimal medical therapy and CRT. This was submitted to HRS and it is an accepted poster presentation that Dr. Abraham, the Co-principal Investigator will be presenting. The fifth one, arterial and cardiac hemodynamics in advanced heart failure patients implanted with a para-aortic counterpulsation device assessed by pulse wave analysis. This was submitted for the ESC meeting this year. I will now turn the call over to Claudia Drayton who will provide a financial update.
Claudia Drayton: Thanks, Dave. Good morning everyone. This morning we released our audited financial results for the fourth quarter and year-end December 31, 2014. I would walk you through a few of the financial highlights. The company's results for the three and 12-months ended December 31, 2014 includes reimbursement revenue of $177,000 and $295,000 respectively. A year ago we reported no revenue in the fourth quarter of 2013 and $59,000 for the year 2013. All reimbursement revenue is for implants billed under the COUNTER HF study. We are presently modeling approximately 30% of U.S. implants under the pivotal study to be eligible for reimbursement. As we progress through the study, we will continue to modify our model when appropriate based on experience. Since all activities are conducted under clinical studies in both the United States and Europe, we are recording all costs associated with our devices directly to research and development expense as incurred. We expect to continue to do so until such time as we begin producing devices for commercial sales either in Europe or the U.S. Operating expenses on a GAAP basis for the three and 12-months ended December 31, 2014 totaled $6.8 million and $26.1 million respectively as compared to $7 million and $22.9 million for the same period a year ago. Excluding compensation cost, equity compensation cost, non-GAAP operating expenses for the three and 12-months ended December 31, 2014 totaled $5.9 million and $23 million respectively compared to $5.3 million and $19.1 million in the same period a year ago. The increases over the prior year results -- sorry, the increases over the prior year period results from increased clinical research and infrastructure expenses related to the U.S. pivotal study and European post-market study and to increased development costs related to our full implantable device. Equity compensation cost included in operating expenses totaled $900,000 in the fourth quarter of 2014 compared to $1.7 million in the fourth quarter of 2013. In total $3.1 million for the year ended December 31, 2014 as compared to $3.8 million in 2013. The fluctuation in comparable periods is attributed to the timing and structure of equity awards granted during the period as well as to fluctuations in our stock price. We expect equity compensation expense to continue to fluctuate based upon this factor. In 2014, we received R&D tax credits refund in Australia totaling $265,000 compared to approximately $1.2 million received in 2013. These refunds related to R&D spending activity in Australia for the 12-months periods ending June 30, 2014 and 2013 respectively. As we have previously communicated, we have significantly reduced the level of R&D activity in Australia in recent periods and expect that future R&D refunds, if any, will continue to diminish in the future. We have not yet completed an analysis of R&D spending for the tax year ended June 30, 2014 to determine if a refund for that period is available. Excluding equity compensation cost, non-GAAP net loss in this three and 12-months ended December 31, 2014 was $5.8 million or $0.34 per share and $22.5 million or $1.33 per share respectively compared to losses of $5.4 million or $0.32 per share and $17.9 million or $1.41 per share in the comparable periods in 2013. On an as reported basis, our net loss was $6.7 million or $0.40 per share for the fourth quarter of 2014 and $25.6 million or $1.51 per share for 2014 as compared to $7.1 million or $0.42 per share and $21.8 million or $1.71 per share in the same periods of 2013. Cash used in operating activities totaled $22.6 million in 2014 compared to $17.4 million in 2013 with the increase driven primarily by increased clinical and R&D expenses. We ended 2014 with approximately $31.3 million in cash and no debt. At the end of the year, we had 16.9 million shares outstanding and an additional 2.8 million shares reserved for outstanding stock options, warrants and restricted stock units. After year-end we took some important steps to improve the liquidity of the company. First, as we previously announced, we entered into a debt agreement with Silicon Valley Bank for proceeds of up to $10 million. $6 million was funded at closing, an additional $2 million became available upon the announcement that the FDA had granted us approval for interim analysis and the remaining $2 million will be available upon our enrollment of the 100 patients in the U.S. COUNTER HF study on or before September 30, 2015. The second step we undertook to strengthen the balance sheet was to utilize our ATM facility. In the first two months of 2015, we sold about 1.2 million shares and raised approximately $7 million. Going forward, in 2015 we expect to see modest revenue from reimbursement of implants in the United States and we have not modeled any revenue from implants in Europe. We are targeting 2016 for nominal reimbursement revenue to begin in selected European countries. We expect that our quarterly operating expenses and cash burn will be at the same or higher levels than comparable periods last year as we continue to support our studies in the United States and Europe. We expect a minimal impact to our cash burn from the temporary pause in enrollment as we anticipate to be up and enrolling patients again very shortly. During 2015 we expect to continue to make selective use of our equity ATM facility when and if we deem appropriate. Finally, we believe that our equity compensation expense will fluctuate from period to period based upon the timing and structure of equity awards and the fluctuations of our stock price. I will now turn it over to Dave.
Dave Rosa: Thanks, Claudia. This concludes our prepared remarks. And before I turn the call over to the moderator for the Q&A portion of the call, I would ask that the initial questions that anyone has for Dr. Abraham be asked first as he is on a fairly tight schedule right now. He is actually travelling and is kind enough to join us for the call. So if you could -- any questions that you have for Dr. Abraham, if you could ask those first so that we can let him go as soon as possible, that would be greatly appreciated. So moderator, will you commence the Q&A portion now for the call.
Operator: [Operator Instructions] Our first question comes from Josh Jennings from Cowen and Company. Your line is open, please go ahead.
Josh Jennings: Dr. Abraham, thanks for joining the call. It sounds like the interest level in terms of the patients being interested in enrolling in the trial has picked up with 100 patients expected in Q1. Can you just talk about some of the strategies that have been most successful over the last two to three quarters that have caused that increase? And then with the pause in the COUNTER HF trial, are centers still able to screen patients while enrollment has ceased.
Bill Abraham: Yes. Let me address the second question first, and the answer is yes. And as a matter of fact we encouraged investigators and coordinators on our conference calls with them and in some one to one conversations that we have had to continue to screen patients. We have, as you have noted, built great momentum around enrollment in the COUNTER HF study. Things have been going along very well and the ramp up in enrollment has been strong. We don’t want to lose any of that momentum. So what we have communicated is that this is a temporary pause. The protocol allows us to have a productive discussion with the FDA and eventually move forward. We hope the pause is relatively short. We have asked sites to continue to screen patients, to build their list, to have patients lined up so that when enrollment is restarted we don’t miss a beat here. In regard to those things that have helped us gain some momentum in enrollment, I think it's multi-factorial. As you know and I think as Dave and others have reported previously, the company has been very aggressive in providing support to centers to stimulate the enrollment, screening and enrollment activities. We have done a lot of things with coordinators and investigators, conference calls, other communications and so on and so forth. And then part of this is just the normal ramp up process as more sites are added and as sites get through the enrollment of their first or second patient and gain their own momentum.
Josh Jennings: Great. Just Dave mentioned that there is -- with the interim analysis look, there would be a set of more rigorous statistical analysis. Can you comment on what the statistical p value is going to be? And then I just have one quick follow up after that.
Bill Abraham: You know -- sorry, someone on the line wanted to comment?
Dave Rosa: No. I wanted to say, this might be a question that Kim can handle, Bill.
Bill Abraham: Okay. Go ahead, sorry.
Kimberly Oleson: Yes, good morning, Josh. This is Kim Oleson. So the question is what is the adjusted p value for the interim analysis. And in this particular case that adjusted p value is 0.001.
Josh Jennings: Okay. And then Dr. Abraham, just one last question. Looking at what we know now with four non-device related deaths in the study group, all-cause mortality as a secondary endpoint, but I mean how are you thinking about the rest of that secondary endpoint and what do you think the centers -- how are the centers responding to the CEC adjudicated for this all being non-device related and their comfort level? Thanks a lot.
Bill Abraham: Yes, sure. Well, I think the comfort level at sites has been good. I had spoken via conference call and personally with many of the investigators and I think heart failure folks understand what's going on here. First of all, the numbers are very small. As you have heard, none of the deaths in the treatment arm have been procedure or device related. These are the kind of things that happen in advanced heart failure patients. So small numbers early on, I think the general level of concern is low and these things are sometimes seen early on the clinical trials and in the long run even out. So at this point in time, my level of concern is low. I think the investigators likewise kind of get this. And there remains a high level of enthusiasm to get back to enrollment and get this study done.
Operator: Thank you. Our next question comes from Suraj Kalia from Northland Securities. Your line is open. Please go ahead.
Suraj Kalia: So let me start, maybe Dr. Abraham or Dave can answer these questions. Dr. Abraham, you have had four non-device, non-procedure related deaths. What is the implications of these events in the interim analysis and also, I guess a follow up to that would be, we have not heard anything about the control arm. So am I justified in assuming there have been “no deaths” in the control arm and we just look at the treatment arm. I would love to get the thoughts on how you all are going to proceed in the interim analysis.
Dave Rosa: Yes, Kim can answer that question and Bill, you can chime in if you have anything else to add.
Kimberly Oleson: Hi, good morning, Suraj. This is Kim Oleson. So the question is, how do the four deaths affect the primary efficacy endpoint. And so I just want to clarify that the events that are adjudicated by the independent CEC as worsening heart failure event, those are the ones that contribute to the primary efficacy endpoint.
Suraj Kalia: Kim, so for the interim analysis what you are saying is these events will not make, will not factor into the denominator?
Kimberly Oleson: They can but only those that are adjudicated as related to worsening heart failure. So let's just say if a patient died for other causes, so they had an accident, a car accident, that person would not contribute to the primary efficacy endpoint.
Suraj Kalia: Fair enough. And, Kim, I think I heard you say that the p value for the interim analysis was 0.001. I get the p value but would you remind us again what's the null hypothesis for the primary trial and what delta the increased threshold -- when you look at vis-à-vis the null hypothesis, what are you trying to show, if at all, in the interim analysis?
Kimberly Oleson: So if I were to simplistically explain what we are doing for the interim analysis, the hypothesis for primary efficacy is based on a profile of looking through repeated events of worsening heart failure. We are assuming that the profile is the same between the C-Pulse arm and the control arm of the study. So with the interim analysis results in a p value that is less than 0.001, this means that the hypothesis of equality between these two treatment arms is less than one-tenth of a percent chance of being correct. So if the resultant p value is lower than 0.001, this means that we can demonstrate compelling efficacy at interim analysis. Did that answer your question?
Suraj Kalia: Absolutely fair. And Dave finally, let's say April 16 comes and let's assume that the FDA does not make any major amendments or puts any amendments to the protocol on you guys. Would I be fair in saying that the patients who are in the funnel, the 100 or so whatever you all mentioned, would immediately come on line, or you think at least in terms of randomization or what not, or do you think there will be some time lag? I am just trying to think about the cadence of enrollment, especially with Q1, the latter part of Q1, Q2 so and so forth. Thank you for taking my questions.
Dave Rosa: We are going to obviously, initially, some of the patients that were enrolled that had not yet received the device who have been randomized, if they fall outside the 30 day window then they are going to have to go back into the funnel again. So with all those patients that were expected to be seen and half of them were supposed to be seen in the month of March alone. So I think half the patients, as long as they don’t get sicker or go on to another therapy, or don’t change their mind, they can be revisited moving forward. I think the big question is, whether or not the sites will have to go back to their IRBs. So without expecting the protocol change, Dr. Abraham and the rest of us feel pretty confident that the majority won't. And I think that’s a huge piece for us, more than can we get some of these patients back in the mix. I think the sites are enthusiastic enough that, yes, they want to get the patients back in the mix. But as long as you don’t change that protocol, which again we see no need to at this point, we should be in pretty good shape.
Suraj Kalia: Thank you.
Bill Abraham: Yes. And let me just address one other thing that I think I heard and that was in regard to, I think, the comment that there were no deaths in the control arm. There in fact have been deaths in the control arm. Again, in advanced heart failure population we expect some mortality from a variety of causes. And there are deaths in the control arm as well. What we talk about are the deaths in the treatment arm because that's the rules specified in the protocol for taking this pause.
Operator: Thank you. And our next question comes from Tom Gunderson from Piper Jaffray. Your line is open. Please go ahead.
Tom Gunderson: Just a quick follow up on that last comment, Dr. Abraham. Are you or anybody in the company able to tell us how many deaths in the control arm, or is that still under wraps?
Bill Abraham: Yes, I think I will let Dave or Kim handle that.
Kimberly Oleson: Good morning, Tom. This is Kim. We are not going to comment on the control arm.
Tom Gunderson: Got it. Thanks. Back to you Dr. Abraham. You have been in a number of clinical trials. You have probably been on safety boards etcetera. Can you give us a little color about what happens when an adjudication takes place for a death in the active arm as this. Who is doing this? What's their background? What's their connection to the overall trial? Just a little bit more granularity if you could.
Bill Abraham: Sure, absolutely. And I have, Tom, as you know, I have served on a number of clinical event committees and data safety monitoring boards over the years. You know the goal here is to have this be as independent and as objective as a process as possible. So the folks who are engaged with these oversight committees are really independent of the study. And by that what I mean they are not investigators, they are not engaged, either not engaged as a site in this study or if they reside at a site they are not engaged at their site as an investigator in this study. We expect them to look at these events independently. They generally have a charter or a set of rules that they work by. But of course, ultimately, some degree of clinician judgment goes into their assessment of the events. And importantly, what they are asked to do is to review these events. One, to determine causality, what's the main cause of a hospitalization or a death, for example. And then secondarily to determine whether or not they are related to the investigational procedure or to the investigational device, or system. And as you heard earlier, the independent clinical events committee for COUNTER HF has determined that none of the four deaths in the treatment arm were either procedural or device related. So from that you might assume that they are related to other typical reasons why advanced heart failure patients die. I think that that provides a lot of reassurance that there is not a problem with the procedure or the investigational device being studied in the COUNTER HF trial. Again, as I mentioned earlier, investigators who are mostly heart failure clinicians and implanting cardiac surgeons, really kind of get that. And I guess the other part of your question which I should answer was, who are these people. These are heart failure specialists, cardiac surgeons. People who have expertise in the field and can recognize causality and relating this or non-relating this to investigational therapies.
Operator: Thank you. Our next question comes from Jan Wald from Benchmark. Your line is open, please go ahead.
Jan Wald: Good morning, Dr. Abraham. I guess to ask you some questions. The new threshold that’s been given, the new statistical threshold. How do you feel about that? Is that a realistic goal for the trial?
Bill Abraham: What -- I am sorry -- I am not sure what's the threshold you are referring to?
Jan Wald: The new statistical threshold, I am sorry, with the interim analysis. Is that a realistic goal or is that going to be tough to meet?
Bill Abraham: Yes. No, no, I get what you are saying. So interim analysis are by design very conservative. When you design a trial and derive a sample size, the expectation is that you have to go all the way to full enrollment to the full sample size to answer the question. Interim analysis are designed to be very conservative because in general we don’t like to, from a scientific clinical trial standpoint, we don't like to stop trials early because sometimes interim analysis or early results can be misleading unless the bar is set, for early stopping of a trial, is set very very high. So that’s why we require small p values in order to stop the test early. So the treatment effect would need to be substantially better than projected in the trial assumptions to stop the trial and this doesn't go just for COUNTER HF, this really is the case for trials in general. You want to have a rule that allows early stopping because it may become unethical to deny control patients the therapy if the effectiveness of the drug or device under study is overwhelmingly positive. On the other hand, you want to make sure you get the real answer, the right answer out of the trial. So you don't want to stop too soon if, for example, at some interim point there is an outcome that might be a borderline statistical significance. So this is very conventional for what's done in clinical trials in general.
Jan Wald: Okay. And I guess one other question is, it sounds as if there is a bolus of patients already available on the clinical trial can get kicked off again. But is there a start up time? I mean are all the hospitals to your knowledge holding the groups together that were involved in the trials so that when the time comes, if they don't have to go to the IRB, like day two they are up and running on the trial?
Bill Abraham: Yes. I...
Dave Rosa: Molly, can answer that question.
Molly Wade: Good morning, Jan. This is Molly Wade. To answer your question, the treatments in previously -- that we hosted three investigator calls last week. Dr. Bill Abraham and Dr. Margarita Camacho were on the call and all physician questions were answered. At this point we feel that there is nothing to suggest that our [indiscernible] to have any concern resuming enrollment and we feel this can happen very quickly.
Bill Abraham: Yes. I agree and would have said exactly the same thing. And while I won't name the trials I have had experience with, trials in the past that have had a pause like this. When the messaging is positive, when the investigators understand what's going on, that’s why communication is so important. And I think that Sunshine Heart has done a phenomenal job communicating in honest transparent way what the situation is. Investigators feel good about that. They line these patients up, they are ready to go. And I would expect that we would pick up where we left off.
Jan Wald: Okay. And I have one last question. I don’t know if this is for you Doctor or for somebody at the company, but in the prepared remarks and in the press release, it talks about the fact that patients will be followed for 12 months and that the accrual of those patients is expected at the end of 2016. What does accrual mean in this case? Does it mean the total number of patients will be enrolled or does it mean enrolled and followed for the 12 months?
Dave Rosa: Kim can handle that question.
Kimberly Oleson: Hi, Jan, this is Kim. So the accrual which means, if you will, the randomization of those patients will be completed in the second half of 2016.
Jan Wald: Okay. So that would mean follow up would end in the second half of 2017?
Kimberly Oleson: Yes, that’s correct.
Operator: Thank you. [Operator Instructions] And the next question comes from Jason Mills from Canaccord Genuity. Your line is open. Please go ahead.
Jeff Chu: This is actually Jeff filling in for Jason. Dr. Abraham, I was wondering if you could provide us with the screening to enrollment ratio of the most recent quarter and what best practices have been in place, or can be put in place to improve that ratio going forward.
Bill Abraham: Okay. Kim may actually be better prepared to talk about the ratio because I am not sure exactly what that is. Kim?
Dave Rosa: Actually Molly can discuss this.
Molly Wade: Good morning, Jeff, this is Molly. As you heard, one of our initial challenges was creating market awareness of the C-Pulse System. Since then we have gained considerable traction and the centers continue to identify an increasing number of suitable candidates for enrollment. You asked about the screening rate. At this point, we see about a 20% screening rate or one in every 5 patients that are positioned with the physician through the patients will enroll. We have developed new material to aid physicians in discussing the potential benefits of the C-Pulse System to their patients. These materials are currently going through centers institutional review board. In addition Dr. Bill Abraham has been instrumental in speaking with centers who had difficulty enrolling their first patients. After Dr. Abraham spoke with two of the three centers, how he positions C-Pulse therapy to patients, two of those three centers enrolled their first patient in the following month. So we are confident that we are making a lot of progress on increasing that enrollment rate up from that 20%.
Jeff Chu: All right, great. Probably to go back to Dr. Abraham here. Doctor, I was wondering, you thoughts on the impact the fully implantable will have on patients in the long-term.
Bill Abraham: Yes. Well, of course it's something that I am very excited about. I think with devices that have external components and drive lines just as a clinician from a clinical perspective, we are certainly very excited about the possibility of eliminating the drive line and having a fully implantable system, believing that it may offer some additional safety or be more easily managed than devices with a drive line. You know drive lines by no means are show stoppers. We work with them all the time but there is an attractiveness to a fully implantable systems in works, excited about that possibility.
Operator: Thank you. Our next question comes from Steven Lichtman from Oppenheimer. Your line is open. Please go ahead.
Steven Lichtman: Just a couple of follow ups. In terms of the 100 patients or so present at the OPTIONS enrolling. Can you just follow you with a little bit of details on what that means. What they have been through to this point, just to kind of get a sense of how far along they are in the process of potentially getting enrolled and implanted?
Molly Wade: Yes, Steven. This is Molly. I think what we are planning in the clinical trial is that when patients are considering and implantable device it usually takes at least one visit. So these centers have been approached either by the coordinator or investigator to either come in and learn about the C-Pulse System or they are found in clinics because they need all of the -- look to meet all of the current inclusion/exclusion criteria. At that point the physician discusses the options to them. At that point in time we find most patients go home and discuss it with their family. And that’s why we see a lot of these additional materials that the patients can take home to make an educated decision, are warranted and are going through the IRBs. But as you can imagine with 100 patients roughly in queue, some of them are just coming in for first appointments and others as Dave referenced, had come in March, we expected to be a very big month because of the second or third visits for some of these patients.
Steven Lichtman: And so they have all obviously passed the initial screening criteria?
Molly Wade: That’s correct.
Steven Lichtman: Okay, great. And then just in terms of folding in over the longer term, the smaller iteration of the C-Pulse and then the TET longer term. What do you think the process will be there in terms of working with the FDA in terms of getting that approved post the COUNTER HF study?
Molly Wade: On CP2 we have had preliminary meetings with the FDA on January 15, more or less just to do some exploratory interaction with them regarding preclinical testing. So about right now we are engaged in conversations with the FDA. We are developing protocol and the device to get it to first [demand] [ph]. Does that answer your question?
Steven Lichtman: Yes. And so in terms of just any sort of supplemental trial, would that likely need to look like post running the full trial for COUNTER HF?
Molly Wade: We are still working on that strategy with the FDA. We do not have that defined.
Operator: Thank you. [Operator Instructions]
Dave Rosa: Okay. So any other questions before we allow Dr. Abraham to go back to the business at hand for him. All right. Dr. Abraham, thanks for joining the call. Thanks for making yourself available and have a good rest of the day.
Bill Abraham: You are welcome. Thank you.
Operator: I am showing no further questions at this time, sir
Dave Rosa: All right. Well, thanks everybody for participating on today's call and I look forward to, hopefully in one month, updating you that the FDA has allowed us to move forward. Thanks.